Operator: Hello, everyone, and thank you for joining us today for this Haynes International, Inc. Fourth Quarter Fiscal 2020 Financial Results Conference Call. [Operator Instructions] To get us started today with opening remarks and introductions, I am pleased to yield the floor to Controller and Chief Accounting Officer, Mr. David Van Bibber. Good morning, sir.
David Bibber: [Technical Difficulty] conference call contains statements that are forward-looking within the meaning of the Private Securities Litigation and Reform Act of 1995 and Section 21E of the Securities and Exchange Act of 1934. The words believe, anticipate, plan and similar expressions are intended to identify forward-looking statements. Although we believe our plans, intentions and expectations regarding or suggested by such forward-looking statements are reasonable, such statements are subject to a number of risks and uncertainties, and we can provide no assurances such plans, intentions or expectations will be achieved. Many of these risks are discussed in detail in the company's filings with the Securities and Exchange Commission, in particular form 10-K for the fiscal year ended September 30, 2020. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. With that, let me turn the call over to Mike.
Mike Shor: Thanks, Dave. Good morning, everyone. As our team leads our company through the impact of the pandemic, I thought I would start this call by highlighting some of the positives from this past quarter. While this has been a difficult period, we have executed well and I'm proud of our team's accomplishments. First, starting in late March, we prioritized cash generation. After generating $13.1 million in cash in our third quarter, we generated an additional $11.7 million in Q4 for a total of $24.8 million in the second half of our fiscal year. We have also developed plans for positive cash generation to continue throughout fiscal '21. Next, we have strong liquidity, no debt and $47.2 million in cash in our balance sheet. Due to our high level of confidence in operating cash in fiscal '21, we paid off the $30 million precautionary draw on our revolver in September 2020. Many years of tightly managing our balance sheet have set us up well to manage our way through the pandemic. In addition, our team is strategically positioning our company to exit this downturn with a competitive advantage by leveraging our mill direct and service center routes to market. We are building flexible intermediate inventory in the mill to allow for consistently shorter lead times in the future for our high-volume alloys, while our service centers are targeting stock for even shorter lead term requirements and smaller order quantities. We also plan to continue to invest in value-added cutting capacity to provide high-value differentiated products and therefore build additional competitive advantage. Throughout this pandemic, we have stayed in close contact with our customers, continuing to provide what they need when they need it and to gain their insight into current business conditions and future demand requirements. Next, we are pursuing market share gains and have moved from talking about it to achieving it in our industrial gas turbine market segment, where we began shipping increased volume to a new customer in Q4. In addition, we continue to focus on our value-based pricing for our high-value differentiated products, while at the same time, seeking to be competitive when the commodity alloy portion of our CPI mix in order to drive volume. Our average selling price, both sequentially and year-on-year has held up well despite the drop in volume. Our entire team continues to emphasize the value that we provide via our unique proprietary alloys, our quality, our technical and self-service and our just-in-time inventory. Next, we reacted swiftly after the pandemic began in the U.S. to take costs out of the organization with salary reductions, unpaid furloughs, headcount reductions and other actions to reduce our costs as we managed through the pandemic. While it's difficult to reduce cost in full proportion to our volume reductions because of the many of our costs are fixed, we analyze all discretionary spending and made very difficult but necessary decisions. Although the work on SG&A and volume-related cost reductions is very important, also important, for the long-term health of our business, is the ongoing work to improve yields and lower manufacturing costs.  Our cost and yield initiatives in Q4 are expected to further benefit us as our volume comes back. After the pandemic, these actions should keep us on track to improve our gross margin percent, which reached 18% in the 2 months prior to the pandemic. In addition, sequentially, our gross margin improved in the fourth quarter compared to the third quarter going from 3.3% to 4.9% in spite of volume and revenue declining. This shows our ongoing commitment to reducing costs in this low volume environment. Dan will have additional details on this in his financial update. A couple more positives. Our alloy and application work continue to provide high-value opportunities for us in unique applications. We're currently working on opportunities involving both new alloys and new applications for existing alloys. I continue to believe that innovation is a core strength for our company and the foundation of Haynes. Our safety rate has continued to improve throughout the year. Our process improvement initiatives keep safety front of mind for everyone in our company. I'd like to take a moment to congratulate our Arcadia, Louisiana tube facility, which completed a full year without a recordable incident in September. I'm very proud of our team. This has been a difficult 8 months for everybody. We have continued to effectively focus on the health and SKU of our team, while also dealing with a significant business implication of the virus. Our team has continued to show focus, determination and leadership. Now a few final summary comments from me on revenue, cost reduction, and cash generation before I hand it over to Dan. Our very low business levels in the second half of 2020 -- fiscal 2020 were challenging and resulted in an unprecedented step down in revenue levels. We continue to monitor the respective markets and look for favorable signs of the recovery. I'll point out that our order entry has begun to improve and move in the right direction from the very low levels we saw in May and June, to a slightly higher level in Q4. While we have a long way to go, it is certainly a step in the right direction. On the cost and margin side, our past price and variable cost work led to significant gains in year-on-year gross margin percent in Q1 and Q2 and a reduction in our from the much talked about 5 million pounds per quarter to less than 4 million pounds a quarter. Our January and February gross margins of 18% show what we are capable of. However, with our Q4 sales volume being just 2.9 million pounds, we are incurring losses, the majority of which can be attributed to the unfavorable fixed cost absorption, resulting in direct charges. In addition to the significant reductions in pounds sold from lower demand, we also reduced inventory levels by another 1.1 million pounds in the fourth quarter. This combination of lower sales levels and inventory reduction led to a sizable reduction in pounds produced in our Kokomo mill in the fourth quarter. That reduction was 49% year-on-year. We simply cannot spread the fixed costs we have over 50% less produced pounds. As discussed, we have successfully increased our cash balance since we pivoted to a cash-generation focus as the pandemic began to impact all of us. I'd like to talk about the fact that our inventory reductions were done responsibly, meaning that we have our customers' needs as our priority even as we reduce inventory. As an example, despite reducing inventory by 2.8 million pounds in Q3 and Q4 combined, we actually built a modest amount of strategic work in process inventory in our high-volume alloys allowing for lead time to be reduced to more quickly support our customers when business levels do improve. I'll now turn it over to Dan, who will provide more details on our specific markets and on our financial results.
Dan Maudlin: Thank you, Mike. Let me start with a look back at our quarterly volumes. At the end of last year, fiscal 2019, our fourth quarter volume was 5.4 million pounds, which was the company's highest quarterly volume in 4.5 years. Moving into fiscal year '20, the first half was impacted by the grounding and production halt of the Boeing 737 MAX, lowering aerospace volumes, combined with weak oil prices, which lowered volumes in our chemical processing market. Volumes in the first and second quarters were 4.2 million pounds and 4.3 million pounds respectively. The second half of fiscal '20 was then significantly impacted by the COVID-19 global pandemic, which lowered volumes in Q3 and Q4 to 3.2 million pounds and 2.9 million pounds, respectively. The fourth quarter volume of 2.9 million pounds represents a 46% reduction from the 5.4 million pounds in last year's fourth quarter. Net sales in the fourth quarter of fiscal '20 was $79.9 million. Looking at each of our major markets for the fourth quarter, sales to the aerospace market accounted for 42% of our revenue at $33.6 million. This is a decrease of roughly 17% sequentially from Q3 and a decrease of 51% from the same period last year. The pandemic has had significant effects across the aerospace industry with announced reductions in commercial aerospace build schedules, combined with reductions in repair maintenance and overhaul activity, complicating the demand situation continues to be the elevated amount of inventory throughout the aerospace supply chain. Destocking is expected to continue in fiscal year '20. Backlog in aerospace decreased sequentially from Q3 to Q4 by 16% and down 46% year-over-year. Fourth quarter sales to the chemical processing market accounted for 23% of our revenue at $18.5 million. This is an increase of 52% sequentially from Q3, but a decrease of 33% from the same period last year. The sequential increase from a very low level relates to a pickup of shipments into Asia. It is also reflective of our approach to seek higher volumes from commodity CPI transactional business with more competitive pricing. This market will continue to be impacted by COVID-19 and an environment of low oil prices causing chemical companies to delay their CapEx spending. Backlog dollars and the CPI were flat sequentially from Q3 to Q4, but down 13% year-over-year. Fourth quarter sales into the industrial gas turbine market accounted for 16% of our revenue at $12.4 million. This is a decrease of 9% sequentially from Q3 and a decrease of 21% from the same period last year. Shipments into this market can be lumpy quarter-to-quarter. The decrease is attributable to conservative purchasing methods due to COVID-19 combined with small and medium frame engine builds slowing down due to the weakness in the oil industry. Our share gain initiative continues. However, given the current economic conditions, the shipments are not yet on quarter-to-quarter. Backlog dollars in industrial gas turbines decreased sequentially from Q3 to Q4 by 15%, however, are up 11% year-over-year. Fourth quarter sales in other markets accounted for 12% of our revenue at $9.2 million. This is a decrease of 17% sequentially from Q3 and a decrease of 16% from the same period last year. Again, demand was impacted from the effects of the COVID-19 pandemic. Decreases were largest in the gas desulfurization, automotive and oil and gas markets. Backlog dollars in other markets increased slightly from Q3 to Q4 by 2% and 1% year-over-year. Fourth quarter other revenue accounted for 18% of our revenue at $6.2 million. This is a solid increase of 94% sequentially from Q3, but a decrease of 8% from the same period last year. Solid toll conversion sales drove the sequential increase, both on our 4-high rolling mill, but also conversion work in our melt shop. Overall, fourth quarter volume was 2.9 million pounds. While this is a low volume compressed gross margin significantly this quarter, the compression alleviated somewhat from the third quarter by 160 basis points. Gross margin in the fourth quarter was 4.9% compared sequentially to the third quarter's 3.3%. This margin expansion occurred even though volumes declined. The amount of fixed overhead costs that we charge directly to cost of goods sold as opposed to capitalizing into inventory as our plant capacity was underutilized, decreased this quarter compared sequentially to last quarter. Last quarter's direct charge was $5.9 million in Q3, but favorably declined in Q4 to $4 million. We are continually and diligently striving to reduce our costs to better align our cost structure to these new lower volume levels. This quarter was also challenged with heavy costs in 3 different categories: first, increases in inventory reserves of 1.5 million, which is about 500,000 higher than Q3 and about 1.1 million higher than last year's fourth quarter. Second, costs roughly $250,000 to $300,000 of COVID related costs, such as for staggered shifts, quarantine pay, cleaning tasks and cleaning supplies. And third, additional severance-related costs of approximately $300,000 in the fourth quarter. In total, we have reduced headcount by roughly 183 as of October 31, 2020, or 15% of our global workforce. This equates to approximately $14 million in annualized salaries, wages and fringes. In addition, during the fourth quarter, the executive team and the Board of Directors continued their 10% pay reduction and salaried employees continued their 1 week unpaid furloughs. SG&A, including research and technical expense, was $9.1 million in the fourth quarter. SG&A was reduced this quarter due to the reversal of incentive compensation accruals of $1.2 million, which was accrued in prior quarters, but fully reversed in the fourth quarter.  Excluding this reduction, SG&A was $10.3 million as compared to last year's fourth quarter of $12.5 million or a reduction of 18%. 3 additional points to finish out the P&L. First, nonoperating retirement benefit expense on the P&L was $1.7 million, which nearly doubled compared to last year's numbers, as we had talked about previously. Though we have some good news for fiscal '21. In a moment, I will further discuss our new valuation and next year's expense. The second item to finish out the P&L interest expense in the fourth quarter was slightly lower as we repaid the precautionary draw on the revolver, which occurred mid March. And third, our effective tax rate was adjusted lower this quarter to 21.2 -- 21.2% and as we finalized our year-end tax provision. All of that resulted in a net loss for the quarter of $5.7 million, which sequentially improved by $2.4 million. Let me circle back to the topic of our recent valuation at September 30, 2020, of our pension and retiree medical plans. The actuarial valuation was favorable. Although the valuation included a reduction of the discount rate used to measure the planned liabilities, which is unfavorable, it was offset by favorable items, including higher-than-expected return on planned assets for the pension plan and favorable retiree health care spending as we have been actively managing our retiring health care costs. This is expected to significantly reduce noncash expense in fiscal '21 by $2.2 million for the pension plan and $3.4 million for the retiree health care plan. This combined $5.6 million will be reflected primarily as a reduction of nonoperating retirement benefit expense in the P&L in FY '21. Moving to backlog. While we have experienced low order entry levels, primarily due to the pandemic, order entry rates slightly increased in the fourth quarter of fiscal '20 compared to the third quarter, but still below shipment rates. Backlog was $153.3 million at September 30, 2020, a decrease of $21.3 million or 12% from the $174.6 million at June 30. For the full fiscal year, backlog decreased $81.9 million or 35% from the $235.2 million at September 30, 2019. Capital spending was $9.4 million in fiscal '20, and the forecast for capital spending in fiscal '21 is $10 million, which continues to represent a level well below our depreciation levels. Liquidity. The company had cash of $47.2 million and 0 borrowings against the credit facility as of September 30, 2020. The company repaid the $30 million precautionary draw on the revolver in September, due in part to generating $24.8 million in cash in the last 6 months of the fiscal year, primarily from inventory reductions and the company's confidence in its ability to generate future cash and its overall liquidity position. In addition, subsequent to year-end, in October of 2020, the company replaced the $120 million credit facility set to expire in July of '21 with a new $100 million credit facility expiring in 3 years. The new credit facility contains an accordion feature that permits an increase up to $170 million at the request of the borrower if certain conditions are met. You can find the details of our new credit facility and our filings with the SEC. Outlook for next quarter. We continue to experience market uncertainty driven by the COVID-19 global pandemic. We expect revenue in the first quarter of fiscal '21 to be lower than the fourth quarter of fiscal '20 due to the ongoing impact of the pandemic as well as the typical end of year holiday related business slowdown, maintenance schedules and customers managing their calendar year-end balance sheet. Earnings for the first quarter cannot be estimated during this time of unprecedented market and economic conditions, low volumes and unfavorable fixed cost absorption. We expect to continue to generate cash from inventory in fiscal '21, and we continue to position the company favorably for the recovery. In conclusion, looking forward, we continue to see significant demand challenges ahead. Despite these challenges, we continue to feel that we are well positioned to weather this period driven by our ongoing efforts to align our cost structure and inventory levels to current demand levels. With inventory levels at $246 million at September 30, 2020, which is 65% of FY '20 sales, we believe additional inventory reduction is achievable. The strategy is expected to yield an increasing cash balance over fiscal year 2021. Mike, with that, I will now turn the discussion back over to you.
Mike Shor: Thanks, Dan. This has been a stressful time, obviously, for the world, our country, our families and our businesses. I again, want to thank our employees. They all continue to push forward, initially to protect the health of our employees, and obviously, that's ongoing, and then to jointly lead Haynes through these turbulent times by pivoting the cash generation, focusing on what differentiates us from the competition and implementing the actions required related to our key metrics for success. With that, Jim, let's open the call for questions. 
Operator: [Operator Instructions] We'll hear first from Steve O'Hara with Sidoti.
Steve O’Hara : I guess, if you look at -- you mentioned the inventory levels and where they are right now in the channel. Can you just talk about have they improved at all? Or are they still kind of high? And do you need kind of a real pickup in demand for that to improve? Or are things kind of maybe progressing where inventories are getting cleaned up a little bit here and there as we progress? 
Mike Shor: Okay, Steve, sure. We obviously spend a lot of time talking about this both internally and getting insight from our customers. We believe that inventory reductions throughout the supply chain are going to go on for another few quarters. Said another way, based on a lot of customer feedback, there's still probably 6 to 12 months of inventory in many areas of the supply chain. Obviously, there's going to be exceptions to this. We're seeing some exceptions. So we could see a modest uptick in '21, but that will just be the first step, in our opinion, to the recovery. Our view, and I really think a great way to look at this, is to look at the LEAP engine because I think what happens with LEAP engines tells us what's going to happen with the aerospace industry. You all know the story: 1,736 engines in '19, initial forecast of 2,320, down to 800 this year and somewhere between 800 and 1,000 next year. So what we're still dealing with is inventory and the supply chain to make over 2,300 engines initially projected in 2020, and that dropped to 800. So still inventory out there. The good news for us. Projections are for the LEAP back to over 2,000 a year, as people start flying again starting in 2023, meaning that we believe the supply chains will be cleaned out and metal will start to flow in large quantities to support this late '21, early '22. Makes sense?
Steve O’Hara : Yes. No, that's very helpful. And then maybe just on the cost cuts, I think you mentioned kind of a $14 million annualized cost savings. Is that something that is kind of a true pickup in -- starting in 2021? And maybe how much of that kind of is incremental in '21 maybe? And then is the $5.6 million that you mentioned, I think, on the pension, is that included in that $14 million?
Mike Shor: Okay. I'll let Dan address the pension after I talk about the cost. I think when we look at costs, you got to look at it from 3 points of view. First is the SG&A and salary cost reduction that we've went through. Those obviously were very difficult to implement. Not something that any of us look forward to, but there's certainly there and will move throughout our upcoming fiscal year. At some point, obviously, when business returns, you're going to have to bring some of that back. But given the pain we went through to get to these levels, it'll take some time. On the variable cost side, there's really a couple of ways to look at this. First, when -- what we have done to get to our high point pre-pandemic of 18% was not only price increase, but significant variable cost reduction, and that work continues, both on yield improvement and overall variable cost reduction. I'm very proud of those efforts. One of the things that happens, though, if you've reduced cost on a per pound basis, you don't get as much cost reduction with 2.9 million pounds as you did with 5.4 million pounds, obviously. So that hurt. So as we move forward, some of our past cost reduction is muted until our volume comes back. But also on the variable side, we continue to focus on all of our facilities in driving costs down. Dan, you want to cover the $5.6 million Steve asked about?
Dan Maudlin: Sure. Yes. The pension reduction and the retiree health care reduction really has -- is not part of that $14 million that I referenced. That was only related to the permanent reductions that had occurred over the course -- that occurred somewhat in -- mostly in 2020, a little bit spilled into 2021 because I mentioned to you the October number. But that was majority of that number has already been realized and some of the numbers we're seeing for the fourth quarter and even a little bit in the third quarter of FY '20, but unrelated to the pension. And I will say this, too, it's also unrelated to other cost reduction measures that we've taken, like the unpaid furloughs is not part of that $14 million number. The 10% reduction in the executive staff salaries is not part of that as well. That's just 1 piece of a bigger cost reduction strategy. Does that help?
Steve O’Hara : Yes. Very helpful. And then maybe last one. You noted CPI remains, I think, kind of low given the economy, et cetera, I mean what were the biggest markets there? I mean it seems like homebuilding tends to be one of the bigger drivers of chemical and then auto seems to be the other big one. Are there other markets that we should think about in terms of getting that market back to maybe improvement other than just general GDP?
Mike Shor: Yes. The oil prices have a significant impact. So when oil prices are down, there's less spending in the CPI market. So that's significant large pipeline projects, we're not out there. In general, we are seeing many chemical processing projects on hold, specifically related to COVID and everyone being a bit conservative with their spending. So that's one side. The other side is our special project side. We actually finished our fiscal year '20 in a pretty good spot related to year-on-year staying plus or minus about even on our revenues on CPI. We're actually going -- on special projects within CPI, we'll see that drop somewhat because there's very few projects being lead. But I would say, in addition to what you said, it's oil price, it's large pipeline projects in general and it's our special projects.
Operator: Our next question will come from Chris Olin at Tier4 Research.
Christopher Olin: Mike, you referred to order rate improvements, although they were from a low level, I was curious if there was a specific end market that's driving that? Or was it a broad based improvement?
Mike Shor: Yes. Let me get some facts here, Chris. The best way that I like to look at this is our book-to-bill and it's kind of interesting. When you look at pounds on what we book versus what we bill in Q1, obviously, pre-pandemic, it was at 1.0, I'll get to the markets in a second, Q2 was 0.7, Q3 was 0.6, Q4 bounced back a little, which obviously gives us some hope, it was at 0.9. And to specifically answer your question on the book-to-bill arrow, we're still down. It was at 0.7 book-to-bill for the quarter, but CPI was slightly over 1, IGT was slightly under 1, and other was over 1. So it's -- arrow was lagging as we would expect, as we talked about with inventory, but the others are coming back. Again, we've got a long, long way to go. We say we're in the road to recovery, but it's from very low levels,
Christopher Olin: Okay. And then just want to make sure I understood what you said there on the special project pipeline -- or revenues. What was the actual number? I wasn't sure I caught that. And then I was just curious. Did you talk about the pipeline, like any prospects in terms of what it could look like for the next fiscal year?
Mike Shor: Yes. We -- the special projects were approximately $25 million in fiscal '19 were probably plus or minus $1 million over that in fiscal year '20, because the lead times on these very complex products are very long, so a lot of what we had in there was things that have been ordered before the pandemic hit us. I'd expect a drop in our current -- now current fiscal year. Don't know the level yet. We have some numbers, but we're always pushing for more. So I would say year-on-year, that's going to be down. But we -- what we like is where the margin is and what's coming in. It's been a fairly rich mix over the past year, plus or minus. Dan, anything you want to add to that?
Dan Maudlin: No. I think you nailed it. To give you a specific number in FY '20, special projects, $26.3 million; where in FY '19, $25.5 million. So you're right on in your numbers, Mike.
Mike Shor: See that, Chris, I'm generalizing and Dan comes and cleans it up, gives the actual numbers. Thank you, Dan.
Christopher Olin: Perfect. You guys have done a great job on the cost reduction side. I'm just trying to think about the normalization of volumes when we start looking out to like '22 and such. When you think about the 183 positions that were removed, would a lot of those jobs need to come back to increase production? Or is there a way to think about how much of the cost reductions would stick going forward?
Mike Shor: I think it was obviously very painful to remove people, both on the production side and through the salaried side of our business. I think it was also fairly expensive for our company to do that. So certainly, as volume comes back, there will be a lag, but there will be a need to bring back some of our production workforce in our facilities, but we will do that very slowly. And on the salaried side, we're going to have to be after spending money to have to remove them to bring them back. Certainly, there will be some that have to come back, but it will be a very slow process to bring them back.
Operator: [Operator Instructions] Next, we'll hear from Michael Leshock at KeyBanc.
Michael Leshock: First, just on your internal inventory destocking. I know you said you're looking to destock more inventory into 2022. But looking at the fiscal 1Q, how should we expect the magnitude of the destock to be versus the sequential change that we saw this quarter?
Mike Shor: We've seen what -- in the second half of last year, we aggressively removed about 2.8 million pounds of inventory. This is a real balancing act for us because we have to keep some metal flowing through our plant. Obviously, our shipment level is not as high as it's been in the past. So -- and Q1, by the way, is typically a tough quarter for us to reduce inventory. So I don't know, to be honest with you, the spread across the year, but we do expect to continue incrementally quarter after quarter to find ways to reduce inventory. Dan?
Dan Maudlin: Yes. I think that's a good way to look at it. I mean, obviously, when we reduced inventory originally in FY '20, just volume itself going down, is going to reduce what's in work in process, what additional raw materials you're buying. So that's a bit of a somewhat natural reduction with volumes overall going down. I think we -- as we get into FY '21, it shifts a little bit in that the pace may not be quite as strong. And it'll shift a bit more to the -- maybe the finished goods side of it, where we're reducing more out of the finished goods side rather than whip and raw materials. But we're looking at really every pocket of inventory, looking for any kind of stranded inventory, you might say, and work in process and trying to clean it up as best we can. We have an inventory steering committee that studies this quite heavily, and we report to senior staff, inventory levels, at least weekly, if not more often than that. So it's a big push for FY '21. We're confident we can continue to reduce inventory. As I mentioned in my prepared remarks, our inventory level as compared to sales is still quite high. Our turns could certainly go up. So I think we have a lot of room to improve, and that will generate cash.
Michael Leshock: Got it. That makes sense. And then on the 737 MAX, given the recent news we've heard there, I know that's about 8% of normalized volumes for you. How is the supply chain gearing up for the return to service? I know you mentioned the LEAP engines, but any other color you could add there on the MAX?
Mike Shor: I think when you look at best estimates out there for MAX production in 2021, actual planes built, it's only probably 120 planes to be built. So I still believe there's significant inventory out there. Obviously, we went from the high levels in the 50s, down to 0 and now probably plus or minus at the current time for a month. So there is still significant inventory out there. So I think a return and a bounce back in demand will be very gradual. We're looking, hopefully, at 31 a month starting in 2022, and as they begin to for that is when, I think we'll begin to see a pull. 
Michael Leshock: And then just lastly for me. You mentioned the new IGT customer. Anything you can tell us in terms of the magnitude, how we should think about that customer and then your expectations for more share gains in the near term?
Mike Shor: Sure. I don't think I want to get into the actual volume for us in a company that only shipped 2.9 million pounds last quarter. It is certainly significant volume. It's a key piece in our puzzle. It's something we targeted and went after, and we feel really good about that. By the way, on IGT, the other thing that we really like about this market is we're finally seeing the supply chain at steady state. So instead of talking about all the inventory in the IGT supply chain, which we've been talking about forever, there's no more inventory reduction. When there's demand, we're seeing a pull forward. So we feel good about that in general and what's happening with that specific customer. And for us, it is significant. As far as other share gain, I believe the value that we provide with our service centers, with our just-in-time inventory, with our technical service, with our alloy development, I think there's opportunities everywhere in which we can find ways to outservice others out there, and that's what we're focused on doing. This is the one which is -- that has happened. So it's good to talk about. But we're certainly focused on others, whether it's here, aerospace, other areas.
Operator: And gentlemen, we do have a follow-up coming in from Chris Olin once again at Tier4. 
Christopher Olin: Sorry, I had a couple more. I thought I'd just knocked it out here. Wanted to ask about Arcadia for 2 reasons. One, I know there's been a little bit of disruption in the titanium supply situation. I was wondering [Technical Difficulty]
Mike Shor: Chris, we may have lost you.
Dan Maudlin: We lost you, Chris. We can't hear, Chris.
Operator: [Operator Instructions] Mr. Olin, are you reconnected, sir?
Christopher Olin: Hello?
Operator: Gentleman, I believe, I [Indiscernible], I do apologize.
Christopher Olin: Okay. To be clear, I am online, right?
Mike Shor: Yes, you are. We can hear you.
Christopher Olin: Yes, not sure where I got knocked out there. I wanted to ask about Arcadia. There had been some changes in the titanium supply situation here over the past few months. I was wondering if that was an issue for that business on the quarter as well as the issue with COVID and how Louisiana getting hit. Just kind of see, maybe you can give me an update there?
Mike Shor: Sure. As far as the starting stock for Arcadia, for titanium tube supply, not an issue at all. It's a very controlled process in which if processes change incoming, we are deeply involved in our end-use customer is deeply involved with that. So we don't see anything there. It'll be a very controlled change over our people and our supplier are all over that one. So no issue at all. COVID, significant issue, Chris, not only in Arcadia, but in all our facilities. We're doing everything we can, social distancing, staggered shifts, ending shifts early, whatever we need to do to try to protect our people, but it's very difficult. So yes, we have significant issues in Arcadia. Our team is doing a great job of keeping things going. And I could say that about every facility we have our offices, the plant in Kokomo going through similar items. It's not just what happens in the plant, obviously. It's what happens when people go out in the public or with families, who are all worried about what happens over Thanksgiving. But so far, team has done a very good job in keeping things going well, working to protect all our employees.
Christopher Olin: Okay. And Dan, you mentioned the COVID-related cost, does that continue into the next year? Did you mention that?
Dan Maudlin: Yes, I think those would. I said $250,000 to $300,000. That's related to staggered shifts and teams cleaning different areas, as Mike was just kind of referencing there. I think that cost would continue as we continue to try to keep everyone safe and keep everyone separated. And anything we can do to help and protect their health, we're trying to do. So that will have a cost to it, but pretty manageable.
Christopher Olin: Okay. And then the last question I had was, I thought I recalled GE talking about increasing production of the turbines or maybe the outlook getting less negative. Have -- has that helped your business there? Are you thinking about that marketing any different at all?
Mike Shor: On power generation, I'd say on the mid and small-sized turbines, as Dan said in his prepared remarks, a lot of that's going into oil and gas. So that's certainly down. We finally see nice projections for the large frame engines. And our alloy content in those is good and continues to grow, especially on the proprietary side. So that's good. So we will see that coming. And as I noted, I think in one of my responses along here, we no longer see a supply chain full of inventory there. So when they start to build, we will feel it. Has it come yet? Not necessarily, but we do believe it will come, not certainly in huge quantities, not to where it was when we peaked in this market many years ago, but it certainly will begin to improve.
Operator: And ladies and gentlemen, that does conclude our Q&A session for today's conference. I'm happy to turn the floor back to Mr. Mike Shor for any additional or closing remarks.
Mike Shor: Okay. Thanks, everybody. We appreciate everyone's time. Thank you for your interest and support. Please be safe for thoughts with you and your family and this incredibly unusual time we live in. Look forward to talking to you again next quarter. Thanks, everyone.